Executives: Andrew D. Regrut - Director of Investor Relations Steven S. Fishman - Chairman, Chief Executive Officer and President Charles W. Haubiel - Chief Administrative Officer, Executive Vice President, General Counsel, Corporate Secretary and Member of Executive Committee Timothy A. Johnson - Chief Financial Officer and Senior Vice President
Analysts: Nathan Rich - Citigroup Inc, Research Division Joseph I. Feldman - Telsey Advisory Group LLC Laura A. Champine - Canaccord Genuity, Research Division Meredith Adler - Barclays Capital, Research Division Jonathan N. Berg - Piper Jaffray Companies, Research Division Patrick McKeever - MKM Partners LLC, Research Division Paul Trussell - Deutsche Bank AG, Research Division Jeffrey S. Stein - Northcoast Research Matthew R. Boss - JP Morgan Chase & Co, Research Division Anthony C. Lebiedzinski - Sidoti & Company, LLC Morris Ajzenman - Griffin Securities, Inc., Research Division David M. Mann - Johnson Rice & Company, L.L.C., Research Division
Operator: Ladies and gentlemen, welcome to the Big Lots Fourth Quarter 2012 Conference. Today's conference is being recorded. [Operator Instructions] At this time, I would like to introduce today's first speaker, Director of Investor Relations, Andy Regrut. Please go ahead, sir.
Andrew D. Regrut: Thanks, David, and thank you, everyone, for joining us for our fourth quarter conference call. With me here today in Columbus are Steve Fishman, our Chairman, CEO and President; Chuck Haubiel, Executive Vice President, Chief Administrative Officer; and Tim Johnson, Senior Vice President, Chief Financial Officer. Before we get started, I'd like to remind you that any forward-looking statements we make on today's call involve risk and uncertainties and are subject to our Safe Harbor provisions as stated in our press release and our SEC filings, and that actual results can differ materially from those described in our forward-looking statements. Our consolidated financials include results from our U.S. operations and from our Canadian business that was acquired on July 18, 2011. Our statements also include immaterial amounts of discontinued operations activity. All commentary today is focused on adjusted non-GAAP results from continuing operations. A reconciliation of GAAP to non-GAAP adjusted earnings for fiscal 2012 is available in today's press release. One other housekeeping item to mention, starting in the fourth quarter of 2012, the results of the toy business were moved from play n' wear to the hardlines category as a result of realignment of management responsibilities. The play n' wear category now consists of electronics, jewelry, apparel, lingerie, hosiery and infants; while hardlines includes toys, automotive, tools, paint, electric, plumbing, home maintenance, appliances, books and sporting goods. This change, along with the separation of consumables into 2 separate categories, food and consumables, will be discussed by Steve later in the call and reflected in our Form 10-K to be filed in early April. This morning, Steve will start the call with a few opening comments, Chuck will provide an update on real estate, T.J. will comment on the financial results for 2012 and our guidance for fiscal 2013 and Steve will complete our prepared remarks before taking your questions. So with that, I'll turn it over to Steve.
Steven S. Fishman: Thanks, Andy, and good morning, everyone. As we entered the fourth quarter, we knew the customer buying trends in the U.S. would be difficult to predict given the national election and uncertain economy and a challenging job market. On our last call, we discussed early Q4 trends. You will recall the first 2 to 3 weeks of November were very tough with the national election and several external factors impacting retailers' results. Then, Thanksgiving and Black Friday came along, customers responded and our business trends started to show some improvement. We were pleased to see the improving trends from Thanksgiving we continued, and for the 5-week December period, comps were slightly positive. However, as you've heard from other retailers that finish to Q4, specifically the latter part of January, was quite a challenge. The mandated payroll tax increase kicked in around 15 January, and we noticed a change in consumer buying trends. The more significant challenge for our business was the delay in income tax refund activity, which likely impacts the discretionary business like ours harder than, say, a traditional discounter. In particular, our furniture business and other big ticket categories were the hardest hit. So while we posted a comp sales decline of 3.5% for Q4, we were trending to a better result up until the last 2 to 3 weeks of the quarter. From a merchandising perspective in the U.S., seasonal was our best performing business in the quarter, comping up mid-single digits. We felt very good about our strategies going into the holiday season, particularly with trim-a-tree, which was well planned, featured new and exciting trend-right product and produced a high-single digit comp on top of a low double-digit comp from last year. We believe there continues to be growth opportunities in trim-a-tree as we looked at 2013. Play n' wear finished flattish for the quarter. We saw strength in jewelry and apparel driven by a special closeout buying opportunities. Electronics was down 3% to 4%, up against a 20% comp increase last year. Tablets and accessories did perform very well, while DVDs and gaming continue to be down trending businesses. Food and consumables were down low-single digits, which was largely expected and mirrored company trends. We made some changes in personnel in this key area, which I'll touch on, and in the last several weeks, we've begun to notice a difference in content and performance. Furniture comps were up mid-singles against the double-digit comp increase last year. Here, the impact of income tax refunds was significant. In fact, it moved the Q4 comp downward in this category by 2 to 3 points in just the last 2 to 3 weeks of the quarter. Mattresses were strong and case goods, led by fireplaces, were positive. In fireplaces, we pushed the envelope on price lines and SKU count. We learned how far we can go, and I'm pleased with this business. In other parts of merchandising, toys continue to be a downtrending business at retail, which would -- did not surprise us. And our home business remained below last year. In home, we were off trend and did not provide the breadth of assortment or quality and the value the customers demands. In this key category, we have also made personnel changes. So that's a view of the U.S. Now turning to Canada. Q4 was our most successful quarter to date as we continue to make progress towards our long-term goals, and we recorded our best financial result since the acquisition of the business in July of 2011. On the top line, volume continued to build sequentially. Q4 sales were $48.6 million, 25% higher than Q3 and within the guidance range we provided in December. On the bottom line, we recorded our first operating profit, which was at the favorable end of our guidance from December. From a merchandising perspective, the largest growth came in categories of seasonal, consumables and home, as customers continue to respond favorably to our focus on expanded assortments that are quality and extreme value. From a seasonal perspective, we probably over inventoried the stores to understand how high is high in trim-a-tree. We like the volume and learned how to plan 2013. Interestingly, from a seasonal perspective, there seems to be a more favorable response to toys in Canada than in the United States. In terms of consumables, it's all about closeouts and deals. That's what the customer responds to. There's probably a higher penetration of closeouts in Canada than in U.S. right now, which is likely a benefit with the large majority of the closeouts being sourced in Canada. Home just became fully assorted in the fall and did experience growth as a result. However, similar to the U.S., we have opportunities to improve our content and quality. Additionally, we have done meaningful volume in furniture and believe there's an upside potential with tighter and more focused assortments. Like our U.S. business, sales trends in Canada were softer in January and early February than the results during November and December. I believe we made inroads with the customer in Canada, and my expectation in the merchandise content and quality will take a big step forward in 2013, just in time for us to introduce the Big Lots brand and begin to test some marketing. Now I'm going to turn it over to Chuck for an update on real estate.
Charles W. Haubiel: Thanks, Steve. During the fourth quarter, we opened 32 new stores in the U.S. and closed 19, leaving us with 1,495 stores and total selling square footage of 32.6 million. For the full year of fiscal 2012, we opened 87 new stores and closed 42 locations, a net add of 45 stores in the U.S., representing a 3% increase over fiscal 2011. From a new store prospective, we're planning for slower growth in 2013 for a couple of different reasons. We've consistently said that we would not just open new stores to hit a number. We acknowledge the pool of available sites the last couple of years benefited from certain retailers failing or significantly downsizing. With the recent announcement of additional industry consolidation, we may be at the beginning of a new cycle. But it takes time for opportunities to develop and locations to become available, and when they are, we stand ready to pounce. Also, we acknowledged flattish sales productivity the last couple of years makes the pro forma more difficult. Instead, we will divert some of our real estate capital to other tests or initiatives that could provide a better return for our shareholders. A major initiative in real estate for 2012 was a full market remodel test, a program designed to provide our customers with a like new in-store experience. We identified 16 stores in 2 markets: Miami, Florida, and the Modesto-Fresno area in Northern California. The renovations are complete, and our marketing and media campaign reintroduced these markets to both our existing loyal customer base as well as potential new Big Lots shoppers. On average, the CapEx for a remodeled store was approximately $300,000 and addressed all physical aspects of the store, including new fixtures, floors, ceilings, doors, lighting and signs. Additionally, these stores presented a new merchandise layout or traffic pattern for the customer, again, designed to present the look and feel of a new store. The early results from the tests have been encouraging, particularly in Florida where incremental sales lifts have been in the mid- to high-single digit range. The response in California was more tempered but still encouraging. While this is certainly good news, we will continue to monitor results, understand how sustainable the lift is and further dip our toe in the water in 2013 by expanding this testing initiative with 3 additional markets or 30 additional stores. Similar to Miami and Modesto, test markets for 2013 are larger volume, important and mature in age and physical plant and also represents stores where we have term remaining and relocations are not widely available. We recognize the need to enhance the shopping experience for our customers in these locations. Shifting now to Canada. There were no new stores opened or stores closed during the fourth quarter. We closed a total of 3 locations during fiscal 2012 and ended the year with 79 Liquidation World, or LW stores. As we look to 2013, we anticipate introducing the Big Lots brand to Canada by opening our first 2 or 3 new stores and rebranding a handful of others in Ontario. The new stores' look and feel similar to a new U.S. store and will be close to 30,000 square feet to give us the opportunity to appropriately merchandise the store. As many of you know, today, a large number of the stores in Canada are smaller in size, which creates a challenge for us to present a full merchandising assortment. In the rebranded stores, the goal is similar to the U.S., focused on stores which are some of our higher volume and higher traffic locations, stores that are larger in size and need physical plant updates, enabling us to launch the Big Lots brand with marketing excitement. Now I'll turn it over to T.J.
Timothy A. Johnson: Thanks, Chuck, and good morning, everyone. I'm going to cover our results for Q4 and then we'll move into a discussion on 2013. Speaking first to U.S. operations, sales for the fourth quarter of fiscal 2012 were $1.705 billion, an increase of 4.4% compared to the $1.633 billion we reported for the fourth quarter of last year. Comparable store sales decreased 3.5%, which was in line with our guidance. As was mentioned earlier, after the November/December time frame or the 9 weeks of Christmas, comps were trending to a better outcome, something in the range of a decline in the low 2s, but the latter part of January was much more volatile. Q4 operating profit dollars were $197 million, up slightly from last year. The operating profit rate was 11.6%, down 40 basis points to last year. The decline in rate was driven by lower comps and a lower gross margin rate, partially offset by expense leverage. Our gross margin rate was 39.6%, down 60 basis points to last year with the decrease primarily the result of higher markdowns. Total expense dollars were $479 million and the fourth quarter expense rate was 28.1%, a 20 basis point improvement to last year. Expense leverage came from advertising, bonus, stock comp expense and the impact of the 53rd week on fixed expenses, partially offset by higher occupancy and depreciation expense. Interest expense of U.S. operations was $1.5 million compared to $0.8 million last year, and our tax rate for the fourth quarter of fiscal 2012 was 38.6% compared to last year's 38.5%. In total, our U.S. business reported income from continuing operations for the fourth quarter of fiscal 2012 of $120.1 million or $2.08 per diluted share, a record quarter and a 14% increase to last year's $1.83 per diluted share. In terms of Canada, we recorded net income of $0.2 million, our first profitable quarter since we acquired the business back in July of 2011. So from a consolidated point of view, we reported income from continuing operations of $120.3 million or $2.09 per diluted share. This compares to our December guidance of $1.91 to $2.10 per diluted share and to last year's income from continuing operations of $114.7 million or $1.75 per diluted share. Moving on to the balance sheet. Inventory on a consolidated basis ended the fourth quarter of fiscal 2012 at $918 million compared to $825 million last year. The increase was driven by growth and improvement of inventory content related to our Canadian operations, a 3% increase in U.S. store count and a 6% increase in per-store inventory in our U.S. stores. The per-store increase in inventory in our U.S. stores relates to: one, higher in-transit inventory due to a fiscal calendar shift; two, building the breadth and depth of our consumables offering through certain deals that were available at quarter end; and three, softer January sales particularly in furniture. We see this level of inventory growth as temporary in nature as inventory levels through the balance of the spring season are planned below last year. For the full year fiscal 2012, total CapEx was $131 million compared to $131 million last year, and depreciation expense was $106 million an increase of $16 million to last year. Cash flow for the consolidated company was $151 million for the year. The consolidated company ended the year with $61 million of cash and cash equivalents and $171 million of borrowings under our credit facility, which is consistent with our expectations communicated back to you in December. This compared to $69 million of cash and cash equivalents and $66 million of borrowings under our credit facility last year. Our use of cash and debt over the last 12 months was the result of our share repurchase activity and our investment in Big Lots Canada, partially offset by cash generated by our U.S. business over the last year. We ended the year with $57.3 million shares outstanding. Now moving to guidance for fiscal 2013. Total sales for the consolidated company are expected to increase in the range of 2% to 3% compared to last year. The increase is driven by consolidated comp store sales in the range of flat to plus 1%, along with sales in new stores. Please note that starting in fiscal 2013, we will report comp store sales on a U.S., Canada and consolidated basis. A table summarizing our sales and comp guidance was included in today's press release. We estimate income from continuing operations for the consolidated company in fiscal 2013 to be in the range of $3.05 to $3.25 per diluted share compared to adjusted income from continuing operations on a non-GAAP basis of $2.99 per diluted share in fiscal 2012. We are operating under a 52-week retail calendar in fiscal 2013 as compared to 53 weeks last year. We estimate the benefit of the extra week in fiscal 2012 was approximately $0.05 per diluted share. We expect this level of financial performance will result in cash flow of approximately $180 million. The average diluted share count is forecasted to be approximately 58 million for fiscal 2013. For our U.S. operations, we estimate income from continuing operations to be in the range of $3.15 to $3.30 per diluted share compared to fiscal 2012 adjusted results of $3.21 per diluted share. This is based on a total sales increase of 2% to 3%, and comp store sales in the range of flat to plus 1. The gross margin rate is expected to be slightly higher than the adjusted rate for 2012 driven by lower-than-forecasted markdowns. Expenses as a percent of sales are expected to increase slightly in this model, with the majority of the increase coming from higher bonus expense. You may recall our 2012 operating profit was below plan for most of the year, resulting in lower bonus and equity compensation-related expense. Excluding bonus, our expense leverage point is estimated to be a flat to slightly positive comp as leverage in store payroll, distribution and transportation and advertising are expected to be partially offset by higher occupancy and depreciation expense, along with normal merit and inflationary increases. Filling out the rest of the U.S. P&L, for 2013, we expect net interest expense of approximately $3 million, and the effective income tax rate is estimated at 39%. For the year, capital expenditures in the U.S. are expected to be approximately $115 million to $120 million. Maintenance cap is expected to be about $40 million, which covers our stores, DCs and the general office. New store capital is estimated at approximately $30 million to $35 million for the opening of 50 new stores. And investments in certain other strategic initiatives will represent approximately $40 million to -- $45 million to $50 million of CapEx in 2013. These dollars will be focused on continued emphasis on new systems, including new warehouse management, HR and real estate systems, the continuation of our full market remodel test program and other certain real estate initiatives. Depreciation expense in the U.S. is forecasted at approximately $110 million to $115 million against $103 million in 2012. Higher depreciation expense is primarily due to the new store growth, IT systems, our continued commitment to maintenance capital and our real estate testing initiatives. For our Canadian operations, we estimate a net loss in fiscal 2013 to be in the range of $3 million to $6 million or $0.05 to $0.10 per diluted share. This compares to a net loss of $13.5 million or $0.22 per diluted share for fiscal 2012. This is based on total sales of $180 million to $190 million, an increase of 16% to 23% and a comp store sales increase in the range of 15% to 22%. We expect sales dollars per quarter to begin to reflect a more normal retail seasonal pattern throughout the year. CapEx for Canada is expected to be $7 million to $8 million, resulting primarily from maintenance capital and the new store openings and rebrandings that Chuck mentioned earlier. Depreciation expense for Canada is expected to be in the neighborhood of $3 million. Moving to first quarter guidance. We estimate income from continuing operations for the consolidated company to be in the range of $0.53 to $0.65 per diluted share compared to adjusted income from continuing operations of $0.68 per diluted share for the first quarter of fiscal 2012. This is based on a consolidated comp store sales decrease in the range of 1% to 3%. Income from U.S. operations is expected to be in the range of $0.63 to $0.70 per diluted share compared to last year's $0.77 per diluted share. Comp store sales are expected to be a decline in the range of 1% to 3%, corresponding to a total U.S. sales increase in the range of 1% to 3%. The gross margin rate for the first quarter of fiscal 2013 is expected to be below last year. Our expense rate is also anticipated to be above last year as a result of the negative low single-digit comp, higher occupancy and depreciation and higher incentive-related costs. In terms of our Canadian operations, we expect a net loss in the range of $3 million to $6 million or $0.05 to $0.10 per diluted share compared to a net loss of $6.1 million or $0.09 per diluted share last year. This is based on a total sales number of $35 million to $39 million, a 9% to 20% increase over last year, and a comp store sales increase in the range of 9% to 20%. Now back to Steve for some closing remarks.
Steven S. Fishman: We covered a lot of ground this morning recapping the results from 2012 and providing our initial financial expectations for fiscal 2013. I want to wrap up today's prepared remarks with my thoughts on the new year, where we've made changes and what will drive the business and what's the status of certain testing initiatives. You've heard me say for 7-plus years now people make all the difference. Mid-year 2012, we made a change returning John Martin to the role of Head Merchant, someone who knows our business, and I trust his judgment and instincts. He and I spent the better part of the fall season evaluating our merchant teams. This led to some pretty significant changes in merchant leadership over the last several weeks. Let me start with consumables. Over the years, it has grown into a large and extensive business. We believe we can improve our focus and execution by separating this category into 2 distinct businesses, food and consumables, each represents approximately 15% of the total U.S. business. We've tapped into the bench strength of our existing merchant team for the divisional merchandise managers. In the case of food, the DMM has an extensive background in the category, with the added benefit of experience in refrigerated food and cooler rollout programs. In the balance of consumables, the DMM has been successful in consumables in the past, has extensive experience in managing closeouts at Big Lots and has a strong relationship with our closeout vendor base. The second change is in the home business. It's not a secret it has struggled for some time. We've appointed a new DMM there also, a merchant with a background in home, both at retail and on the vendor side, who has been running our global sourcing efforts for many years. The final key merchant change happened as early as last week and involves Canada. I asked one of our more experienced U.S. merchants to take over the lead role of merchandising efforts at Big Lots Canada. This person has been instrumental in our growth in the seasonal and furniture categories, 2 key differentiating opportunities in Canada. He also understands closeouts and the Big Lots way of merchandising. So in summary, we've addressed leaderships in 2 underperforming U.S. businesses, and in Canada, we've placed a successful merchant with specific Big Lots knowledge in a key leadership position to help Joe and his team continue to build this key element of our long-term growth strategy. I'm confident these changes will help elevate our merchandising efforts as we move through 2013. Next, there are 3 key testing initiatives, in particular, which we believe has shown some early potential for future sales opportunities. First is remodels. Chuck mentioned some of the results and metrics. We've proven we can lift business, can it be sustained, is the question. Before making a broader company decision and a more extensive investment of time and capital, we need to be more confident in our answer. So we'll continue to test in 2013. Between Chuck and I, we've personally been to both the Miami and Modesto markets, and the change of in-store experience and how our brand represents is significant and something we are proud of. Next is coolers. Installation is now complete in 75 stores in 5 markets across the country. Merchandising of the product should be completed by the end of March. In the first 5 or 6 stores that do have product, we've seen encouraging sales of refrigerated merchandise. But remember, that is not our sole objective. The goal is to increase the level of traffic to our stores by not only offering new product but also having the ability to accept EBT and SNAP benefits. EBT and SNAP are available to a growing segment of the U.S. population base, a segment we cannot service today in our stores. With increased traffic, the goal is to encourage the customer to shop the entire store and drive a broad basket of goods, not solely refrigerated or frozen product. We anticipate we will be EBT and SNAP eligible during the latter part of Q2, so there's more patience in monitoring of results to come. The third item is an update on our rewards loyalty program. We've done a very good job of building a membership base with our current program and now have over 15 million members. We frequently send them online ad circulars or announce unique in-store events or merchandise arrivals. In October, we began testing 3 new reward incentive offers designed to increase frequency. The tests are in approximately 190 stores and over 10% of the membership base. The early indicators have been encouraging as each of these tests has shown some level of improvement in sales and transactions. These results are still very early and did not occur -- and did occur during the high-traffic holidays period. We will continue to test through the spring season, the fall being the earliest date of any potential change or rollout. On our last call, I indicated to you my intentions to retire during 2013 as Chairman and CEO of Big Lots once my successor is named. Although the search committee has been diligently conducting a search, including both internal and external candidates, there is not an announcement today nor do we have any indications one is imminent. However, situations do change. And in the event that this is my final conference call, I want to say that I'm incredibly proud of what has been accomplished over the last nearly 8 years. Our WIN Strategy has made meaningful improvements in merchandising, real estate and operating expense. Our intense focus on quality, value and relevance in merchandise assortments has been critical to our top line growth. Our sales of $5.4 billion represents $1 billion increase over 2005 when we began our WIN journey. We also improved the quality of our store fleet from a location and condition of store perspective, and we lowered our expense base and maintained the low comp leverage point over time, something nobody believed we could deliver. All combined, we took a business that was marginally profitable and posted 6 consecutive years of record earnings, growing EPS from $0.14 per share in 2005 to $2.99 per share in 2012. We've also generated nearly $2.5 billion of cash from operating activities and reinvested it in new store growth, in expansion into Canada, improvements in information technology, training and development for our associates and returned it to you, our shareholders. Since 2005, $1.9 billion has been invested to repurchase 71 million shares or 62% of the share base at an average price less than $27. All of this has been accomplished during the most volatile, uncertain economic periods in U.S. history. Yet despite these unpredictable times, we've maintained focus with a consistent goal of being nothing less than the best. I'm confident that you will see this company get back on track in 2013. The changes we have made in merchandising leadership both in the U.S. and in Canada will serve to refocus the team, improve performance and generate profitable growth for years to come. I want to thank all of our associates, our Board of Directors and you, for the support during my tenure. So with that, I'll turn the call back over to Andy.
Andrew D. Regrut: Thanks, Steve. David, we would now like to open the lines for questions at this time.
Operator: [Operator Instructions] And we'll take our first question from Nathan Rich with Citi.
Nathan Rich - Citigroup Inc, Research Division: Steve, you'd mentioned the challenges that you guys have been seeing in the home business, and it seems like we should be seeing some changes to that category as we move forward. I'd just be interested in getting your opinion of what needs to be done to improve trends in that category?
Steven S. Fishman: I kind of break it down into 3 areas. The domestics business, or linens and domestics, actually has been pretty decent, and we have a really strong focus and a very -- a senior merchant who really understands that business. The housewares business or the tabletop business, in particular, cutlery and those areas, also we placed a really senior merchant who has many, many years of experience in that business. Quality and value need to increase in that area. And the last area is the decorative part of the business, which is home decor, in particular, candles, accessories, those kinds of things, we've really kind of lagged in the way of our performance. And I think that's a quality issue, and I think that's a value issue and we have really some exciting programs in there. I think you're going to see us take some very bold steps in the balance of the first and second quarter to alleviate inventory that really needs to go away. And my call for the third and the fourth quarter is that the home business is going to be one of the leading categories in this business.
Nathan Rich - Citigroup Inc, Research Division: Great. And then a question for T.J., if I could. You guided to cash flow of $180 million. Could you just help us think about how you're prioritizing uses of cash for 2013?
Timothy A. Johnson: Certainly, Nathan. I think near term, we're certainly focused on executing the strategies that are out in front of us and kind of stabilizing our business, returning to that comp store sales number in a positive way as we move through 2013. We think it's in our best interest and shareholders' best interest to focus on execution and stabilizing the business first. We also think that given the fact we're in a transitionary period right now with leadership that it makes sense for us to pay down debt at this point and focus on operations and recognize that under new leadership, there may be some interest in having a say in how we deploy our cash going forward, and the board is fully supportive of that.
Operator: We'll take our next question from Joe Feldman with Telsey Advisory Group.
Joseph I. Feldman - Telsey Advisory Group LLC: Question about the tests that you're doing. You'd mentioned that Florida seems to be doing a fair amount better than California, the store test. And I was just wondering, is there anything different about the 2 tests that you're doing, or why you think there could be a little bit of a variance in the response rate to either one?
Steven S. Fishman: Honestly, first off, it's moderately performing well. It's not significantly different than Miami. I think the execution and the preparation for the transition was the key, and I think we learned a lot about that. We probably didn't speak to that in the script specifically. But the preparation of getting ready for the transition and executing that transition and then getting it accomplished was probably a little bit better prepared and executed in Miami than it was in Modesto. And I think in retrospect, that was one of the big takeaways that Chuck and I probably walked away with, and I know the field organization felt the same way. So I think it was really preparation and execution more than it is just the fact that one's in California or Miami. We may have a little stronger base -- both of those markets though are about the same. Both Florida and California are both about the same size in number of locations, and we've been there a long period of time and they know us pretty well. So I will tell you, the economics in Florida, and I don't know if you've heard this from other people, finally have started to return and are a lot better and I'm wondering if that's a little bit of it also. Everybody experienced some real challenges, particularly Florida and Miami has a lot of consumers that are dependent upon retirement and income and monthly income. And the performance in the fourth quarter in Florida and the execution clearly, because we have a really good group of people down there, we're real comfortable with how we're performing there, no less than California. But I see that things are happening a little bit more vibrantly in Florida, so that may be a part of the issue, too.
Operator: We'll take our next question from Laura Champine with Canaccord.
Laura A. Champine - Canaccord Genuity, Research Division: Steve, my question's really about the management transition. If you could talk about whatever you're comfortable talking about in terms of the kinds of backgrounds you're looking at, where you are in the progress, how long you think it might take. Anything you're willing to give us because obviously, it's so important for the company at this point.
Steven S. Fishman: Okay.
Charles W. Haubiel: Well, actually it's Chuck, I'll jump in. Candidly, there's not a whole lot we've got to share right now. The fact of the matter is the board search committee with Korn/Ferry have been working on this since mid-October. And I think it took us 6 or 7 months or so to find Steve, so I think the time line is probably something consistent. As Steve said earlier, they're working diligently towards finding his successor, and you guys will know as soon as we do.
Operator: Our next question comes from Meredith Adler with Barclays.
Meredith Adler - Barclays Capital, Research Division: I guess I would like to just ask a question about as you divide up the consumables, what -- will there be a change in the focus on how the 2 halves are merchandised, a different emphasis on replenishment or closeouts? And how do you think that ends up looking to the customer? What kind of changes will they see?
Steven S. Fishman: I don't think -- look, first and foremost, Meredith, we've got some really good people who have been with the company and really understand that business. I think we really like the closeout business. And every time our business really is infused with really good quality closeouts, that business trend gets better and better. And particularly in the consumables end of the business, the merchant who's leading that process has been involved in that business and really understands the vendor base really, really well. And in all actuality, we've seen a lot of really good deals. I'm sure you're in our stores, and you've seen some of the high-end branded merchandise that is in the store, particularly in chemicals right now and in paper. And what you see there is only going to continue to roll in because there's more coming at this particular point. And I think on the food end of the business, what we're really looking for, is a leveling between the closeout part of the business, which helps an awful lot, and understanding what's going to drive day in and day out customer basis. So there are never out programs that continue to be developed. Fresh Finds continues to do great. International foods continues to do great. I think you're going to continue to see growth in that. But I think we wanted an expert who really understood and who could really help us through the process of coolers and freezers and how that's hopefully going to impact the transactional activity that we have in our stores. So I think you're not going to see significant change other than the fact that now that we have 2 vice president divisional merchandise managers, who can take the time and reinfuse closeout specialists independently in that business at the same time, we just can spend more time working with our vendor base and making sure there's a better flow of closeouts. And we actually have seen a better flow of that, and I think you'll see it improving going forward into the second and third quarter and the balance of the year. So letting someone divide and conquer, I think, in this particular case was probably a really good decision. Plus, the businesses are so big, they're so big and they need individual management.
Operator: We'll go to our next question, Patrick McKeever with MKM Partners. We'll move next to Peter Keith with Piper Jaffray.
Jonathan N. Berg - Piper Jaffray Companies, Research Division: Great. This is Jon Berg on for Peter. Just, I guess, first in terms of zone pricing, I was wondering if you could give us a little more detail on how you're testing it by region, category or both? And then if you do end up rolling it out across the chain, do you think it could be a bigger gross margin driver or sales driver?
Steven S. Fishman: Yes, I don't think we spoke to zone pricing, Jon. And although we're testing it, it's way too early, preliminarily, for us to have a discussion about that.
Jonathan N. Berg - Piper Jaffray Companies, Research Division: Okay. I guess just one other quick one then. Is there anything near term you guys are working on to adjust your advertising strategy to drive traffic or awareness in your stores?
Steven S. Fishman: Yes, quite a bit actually. And again, we didn't really refer to it in the script. We've hired an ad agency that we did make public in December. And we've got a complete new branding strategy that actually you will see break this weekend with our first piece and the new television and strategy, that's all about the deal, is what the focus'll be, you're going to start seeing in mid to late March. So there's quite a bit going on there. We've also repositioned some of the print advertising and the distribution of the print advertising into the mid to latter part of the first quarter. For an example, I'm taking a good hard look at the second, third and fourth quarter at this particular time too, but not much to talk about other than the changes that I know we've made. And you're going to see it pretty extensively in print. You're going to see it pretty extensively in media and probably by the 1st of April, you're going to see some what we consider to be changes in signing and presentation, how we go about addressing the customer in the stores also at the same time. It's not just a concept. It's all about really addressing the consumers. So there's quite a bit of change coming in marketing.
Operator: And we'll go to our next question, Patrick McKeever with MKM Partners.
Patrick McKeever - MKM Partners LLC, Research Division: Sorry about that. I think I just got cut off. But I don't know -- I missed a little bit of the call, but just hoping to get some additional details on the frozen and refrigerated food tests. Just, I don't know, anything from the number of cooler doors to the variety of product that you're selling to where you're planning to be from a pricing standpoint versus some of your competitors, how you're going to advertise just given the fact that you're only doing the test in 5 markets and can't do a national campaign. And then just lastly, on the coolers, as you look to potentially rolling them out to the chain in 2014, what might be some of the specific hurdles that you're looking at either from a traffic standpoint or a profitability standpoint?
Timothy A. Johnson: There's about a half a dozen questions there, I think. I'll try to address as many of them as we can. I think first off, Patrick, on some of the questions, you're way ahead of us in terms of what we're going to be comfortable speaking to specifically. This is a test for us in 75 stores. So it would be way premature to talk about any kind of rollout in '14 or beyond. I think you got to start at a real high level. Our sole focus here is to try to increase foot traffic to the store, so that we can hopefully convert more customers and drive transactions and therefore comps. And really, all we know so far is that we've got 75 stores with coolers installed. Typically, it's 9 or 10 doors, a broad selection of refrigerated as well as some frozen product, and then a handful of stores will test cold beer. We've seen enough to know in the first 4 or 5 or 6 stores that actually have product in them that the customers are finding it. They're responding to it. But again, our focus isn't to sell lower-margin frozen food. Our focus is to drive traffic and transactions to the store and encourage customers to shop the entire store. And so how do you do that? That's where the EBT and SNAP eligibility becomes so important to the project and so important to understanding the results, and that will not hit stores until the latter part of second quarter. So we're way early here. We wanted to update you on where we were. I believe you've actually been in one of the markets, if I remember right. There's 5 of them across the country, and we're excited to learn about it. But again, I think it's important to understand there's a cost associated with this. Solely selling lower-margin product will not make it work. We need the customers to shop the entire store, and we need to increase foot traffic. Additionally, there's 2 or 3 different locations within the store that we're trying to understand where does it best fit, where does the customer find it the most and how can we minimize the amount of product that gets displaced. So there's still a lot of learning but to date, we've been pleased with what we've learned and we're looking forward to the second quarter.
Steven S. Fishman: I'll add to that, too, Patrick, because you asked a couple of questions. Even though it's not something that we can market on a national basis, the 75 stores, we have done it in markets specifically so that if we decide we want to make that decision to do it in print, we clearly have no issue doing that. We have the capability of marketing by marketplace and by district. So we'll be able to do that when and if we're comfortable and wanting to do that, which I'm sure at some point probably into the third quarter, we'll do that. The second piece is there really are no barriers to entry other than the fact that we need to figure out, in the balance of the chain at some point, how many stores we are going to be capable of putting it in and how many we're not. But from a capital standpoint, there's no barriers. We understood that before we got into the program. When we want to roll it forward, we can roll it forward. Whether we roll it forward in 2014 or in pieces over a couple of years, that's still to be discussed. But remember, we're just in its infancy, so we need to learn an awful lot before we do that.
Operator: We'll go to our next question, Paul Trussell with Deutsche Bank.
Paul Trussell - Deutsche Bank AG, Research Division: Steve, T.J., given what you saw from the consumer in the last few weeks of January and all the headwinds given the payroll tax increase and delayed refund checks, the guidance for 1Q is very much understandable. But I'm just looking for a little bit more color on most recent trends. Just given the expectation for sales to gradually increase over the balance of the year, have you seen a bump in some of the more discretionary categories, particularly higher tickets such as furniture, the last few weeks? And then second, regarding first quarter guidance on gross margins, is that mostly due to mix or more aggressive pricing plans or markdowns? How should we think about first quarter gross margins [indiscernible]?
Steven S. Fishman: Yes, I'll address both those questions. I'll answer the second one first. The answer is yes to that exactly. Mix of the business and more aggressive markdowns just because we want to make sure that we're moving on home and a few of the other businesses is the cause for the margin pressure in the first quarter. We think things will get better as they go forward. I think the answer to the first question is a little longer, and let me tell you how we were kind of looking at it when we sat down with the board and everybody as far as the plan goes for the year. The third quarter of last year was really challenging. The fourth quarter improved, and we saw trends improve up until those last -- about the 15th of January through about the first week of February. And although I think the guidance for the first quarter is right where we believe we're comfortable with, the trends when checks came out -- and by the way, you can track them. We track them on a daily basis. We're still running around $25 billion behind at this particular point. Where we saw jumps from one year to the other year, this year to last year, discretionary businesses actually did improve. And I would tell you, the last couple of weeks have clearly been better the last 2 weeks of January and the first week of February in the discretionary businesses monetized. We just had friends and family. Many of you who followed us for a long period of time and know that we run 3 major friends and family events, which are huge days for us over this past weekend and we were pleased with the results. Actually across the board, there was not one single division that didn't perform well on Saturday and Sunday on 2 -- well, Sunday was one of the biggest days. It would be -- it would've been the biggest day, I believe, of the quarter. But so I think we see some light at the end of the tunnel is probably the best way to put it.
Timothy A. Johnson: Yes, Paul, just to add to what Steve said. When he's referring to checks, as hopefully everybody understands, I think it's been pretty well written out there, the income tax refund cycle is certainly off the last year. Whether you receive a check or whether you get it direct deposited in round numbers on any given day, we're $25 billion to $30 billion, with a B, behind last year. And we started to recognize that very early on at the end of January, beginning of February, we noticed it in big ticket businesses, particularly furniture and even lawn and garden and patio and some of those areas. When checks started to flow, really in earnest in probably the 2nd week of February, to no surprise, our business started to improve. Trends in furniture and other bigger ticket categories have started to improve. So we're hopeful that, that dislocation is behind us. We felt the impact of it in fourth quarter and early February. And really, what we based our first quarter guidance on, Paul, was trends that we've seen more recently in really weeks 2, 3 and 4 of February and to start the month of March. The second part of your guidance question around comp trends improving the balance of the year, you're correct. It would be our expectation that, again, once we move forward here in the first quarter and we've got a level playing field on funds and payroll tax, we start to understand our business a little bit better. Clearly, based on our estimation, weather has not been our friend so far this quarter. In areas of the country where weather is more normal or warmer, we get a different result in seasonals. So we would expect those trends to improve. That's one of our larger growth categories through the spring season. And again, we do a lot of volume in the balance first and in the second quarter in seasonal. To Steve's point earlier, too, it's no surprise our consumables business was difficult last year. And while there are good early signs, there's also a product flowing and deals flowing and relationships being built or mended in certain areas. And we expect deals to flow in consumables and recognize we're achieving some of these results with one of our categories. As Steve mentioned, home's still having a difficult time. We would expect that to improve gradually as the year goes on. So from a merchandising standpoint, whether there are specific initiatives or whether they're improving the execution compared to last year with some of the changes that were announced today, we feel comfortable that we'll return to positive comps as the year goes on.
Operator: We'll go to our next question, Jeffrey Stein, with Northcoast Research.
Jeffrey S. Stein - Northcoast Research: Question for Joe. I know earlier last year, guys, you were hoping that Canada would be kind of in the breakeven-ish area for this year, and the loss you're projecting isn't significantly off of that. But I'm just kind of curious, relative to where you were, let's say, 6, 9 months ago, what has changed in Canada? Are you looking, perhaps, at a slightly lower sales build? Or is the difference in the P&L coming out on the gross margin and expense side? And then I have a follow-up.
Timothy A. Johnson: Yes, Jeff, it's T.J. I guess a couple of factors to consider. When we first purchased the business, this goes back 18 months, we said our target was to break even in '13. Clearly, we've learned a lot in the last 18 months. And candidly, we closed a handful more stores than we would have anticipated, so that's one factor to consider. And we've been probably a little more cautious to move into rebranding and opening new stores than earlier considered. I think from a sales perspective, to specifically answer your question, in the prepared remarks, we talked about a little bit softer January and start to February in Canada, mirroring the trends we saw here. So our sales expectation coming into '13 is probably slightly lower than we would've thought 90 days ago or a couple of quarters ago. I think that the team there has refocused on managing inventory and improving margins, and we've seen some improvement in that regard. But I also think it's important to understand we're trying to build the business in Canada, and there are certain investments -- or expenses that we've made, the collective decision or the planned decision to invest in now for the future, specifically in areas of rebranding, as Chuck mentioned; also, in terms of supply chain and logistics, some things we need to do there to make sure that we can flow product to the stores in a way that the customer understands and wants it, which might be different than here in the U.S. So there's been a lot of learnings on the merchandising side. Some additional thoughts around investing in the expense base that might not have been originally considered. And also, we're going to test some marketing this year to understand what that could potentially mean. So the landscape has changed. It doesn't change our point of view at all that Canada is a long-term growth vehicle for this company. And even the guidance that we gave today, clearly, there's a significant amount of progress that's being forecasted and planned for 2013 compared to last year or a few years ago. So we feel very good about that at the moment [ph].
Operator: We'll take our next question from Matthew Boss with JPMorgan.
Matthew R. Boss - JP Morgan Chase & Co, Research Division: Any changes in the competitive backdrop over the past 3 months that you've observed, particularly as it relates to consumables pricing? And also, any updated thoughts on the closeout pipeline?
Steven S. Fishman: No. As far as the competitive nature from our perspective, we're always competitive, and that's just part of our mantra. As far as the closeout pipeline, it's good and you'll see quite a bit in consumables, in particular as I alluded to the chemical end of the business, the paper end of the business, food is decent. We actually have for the first time in many, many years a sizable seasonal closeout that is just hitting stores. You probably wouldn't have seen it yet, and it'll probably be setup in all the stores in the next couple 3 weeks. So I mean, we feel good about the flow. We feel good about the flow. The new closeout people are really active, and they're out there and establishing and growing relationships. So it's a real focus for John, I know that, specifically with the merchants, and I believe it will continue to get better as we go forward at the end of the first into the second.
Operator: Our next question comes from Anthony Lebiedzinski with Sidoti & Company.
Anthony C. Lebiedzinski - Sidoti & Company, LLC: I just wanted to follow up on a prior question. So as I heard, Q1 gross margin will be below last year but for the full year, you expect that to be up. So I was wondering what gives you the confidence to think that you'll be able to actually improve the gross margin during Q2 to Q4?
Timothy A. Johnson: Two things. Anthony, it's T.J. I think first off, we have plans for our seasonal business to be a leading category this year. That is a higher margin business as you know. We have expectations that our home business will improve throughout the year and just not in the front half of the year but throughout the year, and that's a higher margin business. And we have expectations that we will not spend the kind of markdowns that we spent in the, particularly in the third and fourth quarter last year again this year. I think, if you will recall, we had taken some pretty sizable positions, particularly in home. But in other categories around pilot positions and some, I'll call it, more towards opening price point type items in retrospect, we weren't as happy with the performance in quality. But clearly, we needed to liquidate that product. So it came at a cost in the back half of the year from an execution standpoint based on some of the management changes that Steve talked about. Our expectation would be we will not repeat those kind of mistakes. So it's a combination of 2 things, improvement in mix as we move through the year and lower markdowns.
Operator: Our next question comes from Morris Ajzenman with Griffin Securities.
Morris Ajzenman - Griffin Securities, Inc., Research Division: A follow-up on the gross margin questions previously placed to you guys. Over the last couple -- probably last several years, gross margins have probably drifted down about 100 to about 120 basis points. My question is for the year, you're probably -- you're guiding up, I guess, modestly improving gross margins. You gave an explanation on the previous question here for that, but where should that ultimately be? I mean, should we get back to the 40%, 41% gross margin level? Or has there been a change in the business model and in the merchandising where the gross margins in the low to mid 39% range is more appropriate? If you can just expand on that, please.
Timothy A. Johnson: Morris, it's T.J. I think what we're comfortable expanding on is the fact that we think it'll improve this year. To speak to '14, '15 or beyond or some target of 41%, I think you said, is way premature at this point. I think it's important to understand as we think about our business, it's all about -- it's got to be all about gross margin dollars and really leveraging the cost structure in the business and not focusing our merchants on being required to deliver a certain percentage because again, in our business, it has to be all about great value and competitive pricing, and we wouldn't want to compromise that. So we're not in a position today to talk to a long-range gross margin rate target or goal, but we do feel comfortable that this year, there's enough opportunity to improve.
Operator: And we'll take our final question from David Mann with Johnson Rice.
David M. Mann - Johnson Rice & Company, L.L.C., Research Division: A couple of questions. First of all, going back to the question about Canada. Obviously you're making some great progress there. Sales are improving nicely. I'm just curious, can you explain why there's the need for the change in merchandising personnel there?
Steven S. Fishman: David, that was Joe and I sitting down and really talking in great detail. One of the things that we just have learned consistently over time is, is that when you know the Big Lots way and you understand the business and you've been with the company for a while, there's great value in it. We had the unique opportunity just because of the years of development and training that we have with our organization to take a merchant that both Joe really thinks a lot of and I do also myself personally has tremendous experience in this company, he's been here longer than I've been with the company. He was here when I came here, and had done an unbelievable job with the furniture business and with the seasonal business and has been involved in the home business his entire career, really understands how to navigate throughout the building here in the United States. And we thought that, that would just be a huge advantage for the Canadian operation at the same time. And Bob was willing to take on the challenge, and we asked him to move up there and take on that role. And I just think it's going to be a huge benefit for us, and I know Joe believes that, too.
Operator: Thank you. Ladies and gentlemen, a replay of this call will be available to you within the hour and will end at 11:59 p.m. on Wednesday, March 20, 2013. You can access the replay by dialing toll-free U.S.A. and Canada (888) 203-1112 and entering passcode 8792412. International dialers dial (719) 457-0820 and entering passcode 8792412. Now I'd like to turn the call back over to our speakers for any closing remarks. Ladies and gentlemen, this concludes today's presentation. Thank you for your participation. You may now disconnect.